Operator: Good day, and welcome to the Fannie Mae Fourth Quarter 2020 Results Conference Call. Today's conference is being recorded.  I would now like to turn it over to your host, Pete Bakel, Fannie Mae's Director of Public Relations. 
Pete Bakel: Thank you. Hello, and thank you all for joining today's media call to discuss Fannie Mae's fourth quarter and full year 2020 financial results. Please note, this call may include forward-looking statements, including statements related to the company’s business and financial results, its future loss mitigation activities, and their outcomes, the impact of COVID-19 pandemic and recent amendments to the company's preferred stock purchase agreement with the treasury, economic and housing market conditions, the company's capital requirements and the company's business plans and strategies. 
Hugh R. Frater: Welcome, and good morning. Thank you for joining us to discuss our fourth quarter and year-end results for 2020. Before I hand off to Celeste to discuss our results in depth, I’d like to offer a few thoughts on the extraordinary year behind us and the road ahead in 2021. 2020 was truly an historic mission moment for Fannie Mae. As you know, we were chartered over 80 years ago to ensure a liquid secondary market for housing finance in both good times and bad for lenders both large and small.  Our mission is to help ensure that housing finance is affordable and available, and I believe that we have fulfilled that mission very well through most of our existence. Much has been written about the causes of the last financial crisis in 2008 and the roles of the various actors, including the GSEs. But there is little debate about the positive role we are playing in today's COVID crisis. That's because today’s Fannie Mae is very different and far more resilient than the Fannie Mae of yesterday. And in 2020, with the greatest labor market disruption since the Great Depression, we provided historic amounts of liquidity to the mortgage market and we provided forbearance to more than 1 million homeowners to help keep them in their homes. In partnership with our Board of Directors and our conservator, FHFA, we have spent the past dozen years transforming Fannie Mae to prepare for a mission moment like this. Our immediate and most urgent focus this past year was helping America's homeowners and renters who were struggling with the economic impact of the global pandemic. Working closely with FHFA, we launched critical solutions in record time. We worked hand-in-glove with our lenders and servicers to ensure that they are helping our borrowers know, understand, and take advantage of their options. These efforts resulted in more than 1.3 million of our Single-Family borrowers getting needed relief through forbearance plans. 
Celeste Mellet Brown: Thank you, Hugh. And good morning, everyone. As Hugh discussed, 2020 was a year of unprecedented challenge for Fannie Mae and the world. The pandemic and our response demonstrated our critical role supporting housing finance across all market and economic conditions. Even as private mortgage liquidity withdrew when economic uncertainty of the pandemic took hold, we remained a constant and stable source of liquidity. This was particularly evident in our whole loan conduit, which is vital to smaller lenders who are often key sources of housing finance to underserved rural and urban areas. Our conduit volumes more than doubled to nearly $750 billion in 2020, and more broadly, we provided record liquidity to the single-family and multifamily markets. Perhaps most critically, a decade-plus of work to strengthen our risk management was evident in 2020. Our financial results and the health and resiliency of America’s housing system in the face of the pandemic stands in stark contrast to 2008 when housing was a key driver of the Financial Crisis. As Hugh mentioned, FHFA and Treasury agreed to amend the Senior Preferred Stock Purchase Agreement, or PSPA. This amendment has many implications for us. Critically, the amendment suspends the net worth sweep and allows us to build our capital until we achieve adequate capitalization under the new Enterprise Capital framework. This is essential as building substantial GSE equity and capital remains a key unfinished aspect of our transformation under conservatorship. Additionally, the amendment formally creates a foundation for exiting conservatorship. We believe that recapitalizing and exiting conservatorship is an important goal as it will enhance our safety and soundness, protect the American taxpayer, and, we believe, allow us to be more dynamic and better positioned to meet our mission and the constantly evolving needs of the housing system.
Hugh R. Frater: We'll thank you, Celeste. And I believe we're ready now to take your questions.
Operator: Q -  A - 
Operator: All right. Thank you. It appears there are no questions at this time. I will now turn the call back over to Fannie Mae Chief Executive Officer, Hugh R. Frater. Please go ahead, sir.
Hugh R. Frater: Well, thank you everyone for listening today. And we look forward to seeing you next time. Thanks a lot.